Operator: Good morning. My name is Jinisha, and I will be your conference operator today. At this time, I would like to welcome everyone to the Second Quarter 2016 Earnings Release Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. I would now like to turn the conference over to Mr. Ed Egl, Director of Investor Relations. Thank you, Mr. Egl. You may begin your conference.
Ed Egl - Director-Investor Relations: Thank you, Jinisha. Good morning, everyone, and thank you for joining us for our second quarter 2016 earnings conference call. With me this morning are David Steiner, President and Chief Executive Officer; Jim Fish, Executive Vice President and Chief Financial Officer; and Jim Trevathan, Executive Vice President and Chief Operating Officer. Before we get started, please note that we have filed a Form 8-K this morning that includes the earnings press release and is available on our website at www.wm.com. The Form 8-K, the press release and the schedule for the press release include important information. During the call, you will hear forward-looking statements which are based on current expectations, projections or opinions about future periods. Such statements are subject to risks and uncertainties that could cause actual results to differ materially. Some of these risks and uncertainties are discussed in today's press release and our filings with the SEC, including our most recent Form 10-K. David and Jim will discuss our results in the areas of yield and volume, which unless otherwise stated, are more specifically references to internal revenue growth or IRG from yield or volume. During the call, David and Jim will also discuss our earnings per diluted share, which they may refer to as EPS or earnings per share, and David and Jim will address operating EBITDA and operating EBITDA margin as defined in the footnotes to the earnings press release. Any comparisons, unless otherwise stated, will be with the second quarter of 2015. The second quarter of 2016 and 2015 results have been adjusted to enhance comparability by excluding certain items that management believes do not reflect our fundamental business performance or results of operations. These adjusted measures, in addition to free cash flow, are non-GAAP measures. Please refer to the earnings press release footnote and schedules, which can be found on the company's website at www.wm.com for reconciliations to the most comparable GAAP measures and additional information about our use of non-GAAP measures. This call is being recorded and will be available 24 hours a day beginning approximately 1:00 PM Eastern Time today until 5:00 PM Eastern Time on August 11. To hear a replay of the call over the Internet, access the Waste Management website at www.wm.com. To hear a telephonic replay of the call, dial 855-859-2056 and enter reservation code 43986112. Time-sensitive information provided during today's call, which is occurring on July 27, 2016, may no longer be accurate at the time of a replay. Any redistribution, retransmission or rebroadcast of this call in any form without the express written consent of Waste Management is prohibited. Now, I'll turn the call over to Waste Management's President and CEO, David Steiner.
David P. Steiner - President, Chief Executive Officer & Director: Thanks, Ed. And good morning from Houston. Our second quarter results again exceeded our internal expectations, and mirrored the trends we've seen for a number of quarters, improving volumes, strong execution of our pricing programs and greater traction in our cost programs. In the second quarter, we earned $0.74 per share, an increase of more than 10% from our second quarter 2015 results. The combined revenue growth and cost improvement led to strong growth in operating EBITDA to $955 million, an increase of almost 9% and an improvement in our operating EBITDA margin of a 140 basis points to 27.9%. This is the highest operating EBITDA margin that we've achieved in seven years. Our pricing programs continued to drive earnings growth in margin expansion. For the second quarter, our collection and disposal core price was 4.9% and yield was 2.6%. Core price improved 80 basis points from the second quarter of 2015 and yield was up 90 basis points. Core price in the industrial line was 9.5%, in the commercial line it was 7.6%, in our landfill line it was 2.7% and in our residential line it was 2.5%. Importantly, in the second quarter, our churn was 9.1%, a 120 basis points better than the last year and 10 basis points better than the first quarter of 2016, which demonstrates our ability to retain pricing and retain customers through improvements in our service efforts. At this point, we would certainly expect to exceed our full year core price target of 4% and our 2% yield target, although, both metrics could moderate somewhat in the back half of the year due to year-over-year comparisons. With respect to volumes, we saw positive volume growth in the second quarter just as we did in the first quarter. But most encouraging is that we saw volume growth in the right volumes, our high margin commercial, industrial and landfill lines. In fact, our commercial volumes turned positive for the first time in over a decade. We shed volumes in the lower margin residential and recycling lines of business as we continue to eliminate low or negative margin contracts. Our traditional solid waste volumes were positive 0.8% in the second quarter of 2016, a 140 basis point improvement from the second quarter of 2015. Our commercial volumes were 0.3% in the second quarter, an improvement of 50 basis points in the first quarter and a 250 basis point improvement from Q2 of 2015. As this is our highest margin collection segment, this is a significant accomplishment and is reflected in the income from operations of the commercial line of business where we achieved the highest results ever. We expect to see continued growth in our commercial line as the year progresses, which is attribute to the efforts of our sales and marketing teams. So, our strategy of maintaining price discipline while adding the right volumes continued to bear fruit. We did see slightly stronger volume growth in the first quarter with weather in the first quarter of 2016 much milder than in the first quarter of 2015. So, we weren't surprised to see a little less volume growth in the second quarter versus the first, but we expect total company volumes to continue to improve throughout the remainder of the year and we now expect our traditional solid waste volumes to exceed 1% positive by year end. Residential and recycling volumes were down on the quarter and we'd expect them to be down for the remainder of the year, but the loss of those volumes is mostly intentional, given that their low margin or often times even negative margin volumes. Our landfill line of business continues to show strong results, which Jim will discuss in more detail. However, as we mentioned on the first quarter conference call, we've seen a significant increase in the cost of managing the liquids that naturally occur in our landfills. In the second quarter of 2016, the increase in leachate cost was about $22 million or $0.03 per share. As of July 1, we've implemented a wastewater management charge at all of our landfills for customers that are not under contract. We're still in the early stages, but so far, there has not been significant pushback. The next step will be to apply the charge to our disposal contracts as they renew. By passing these cost increases on to our customers, we'll ensure that we maintain an adequate return on the huge capital investments that we make in our landfills. Turning to recycling, we saw a 2.3% increase in average commodity prices for the quarter and a 2.9% decrease in volumes. We continue to focus on managing operating cost as we've seen our recycling operating cost improved more than 9% when compared to the second quarter of 2015. These operational improvements and the increase in commodity prices drove the recycling line of business to its highest income from operations since 2012. When the blended commodity prices were a $109 per ton versus $85 in the second quarter of 2016. Year-over-year, the recycling line of business contributed $0.01 per share to earnings. We continue to work with our customers to develop a mutually beneficial solution that allows for a sustainable recycling business model. To summarize, the positive momentum that we saw in the first quarter continued throughout the second quarter. All of our employees worked hard to deliver strong first half results by focusing on improving price, driving disciplined volume growth and managing costs. In light of a strong first half performance, we're increasing our adjusted earnings per diluted share guidance to between $2.83 and $2.86 for the full year. A $0.09 to $0.12 increase from the low end of our previous guidance. More importantly, we're also raising our free cash flow guidance for 2016 to between $1.6 billion and $1.7 billion, a $100 million to $200 million increase in the low end of our previous guidance, despite our expected capital expenditures being slightly higher than our previous guidance. So the momentum in our business continues. And our focus has never been sharper. We look forward to our corporate and field teams building upon this strong performance to drive even better results for the remainder of 2016 and beyond. I'll now turn the call over to Jim to discuss our second quarter results in more detail.
James C. Fish - Chief Financial Officer & Executive Vice President: Thanks, David. In the second quarter revenues were $3.43 billion, an increase of a $110 million or 3.3% when compared to the second quarter of 2015. We saw a $150 million increase in our traditional solid waste business due to a $98 million increase from the combined impacts of price and volume and a $52 million increase in revenues from acquisitions net of divestitures. These increases were partially offset by declines of $24 million in lower fuel surcharge revenues, $10 million in foreign currency fluctuations and a $5 million decline from lower recycling revenues. Looking at internal revenue growth for the company in the second quarter, our collection and disposal core price was 4.9% and yield was 2.6% with total volumes improving 0.4%. Volumes were positive for the second consecutive quarter. The combined positive price and positive volume, led to total company income from operations growing $58 million, operating income margin expanding 120 basis points to 18%, operating EBITDA growing $76 million and operating EBITDA margin growing 140 basis points to 27.9%. Our collection lines of business continue to see the benefits of our disciplined pricing programs and improved volumes. Overall, collection core price was 6.3% and yield was 3.3%. Industrial demand continued the strong performance that we saw in the first quarter. Volume was up 1.5% in the second quarter, a 150-basis point improvement from the second quarter of 2015. And as David mentioned, commercial volumes were positive for the first time since 2005 at 0.3% for the second quarter, a 250 basis point improvement from the second quarter of 2015. Our residential business continues to be a drag on overall collection volumes, down 3.5% in the second quarter, similar to the declines that we've experienced throughout 2014 and 2015. However, strong core price and positive volume in the high margin commercial and industrial lines of business led to our collection income from operations growing $44 million, and the operating margin growing 120 basis points. EBITDA grew $54 million, and EBITDA margin increased 150 basis points. In the landfill line of business, we again saw the benefits of both positive volume and positive yield in the second quarter, just as we did last year. Total landfill volumes increased 6.5%. Our landfill volume growth is very consistent with the volume growth over the past two years. MSW volumes grew by 5.2%, C&D volume grew 12.5%, and combined special waste and revenue generating cover volumes grew 4.4%. We achieved core price of 2.7%, an increase of 40 basis points from the second quarter of 2015, and saw same-store average MSW rates increase year-over-year by 1.9% from Q2 of 2015. Moving now to operating expenses. As a percent of revenue, those expenses improved 140 basis points to 62.2%. For the second quarter, operating expenses increased $22 million when compared to the second quarter of 2015. Landfill operating costs represented the largest increase, up $28 million. $22 million of the $28 million increase were the increased leachate cost, with the remaining $6 million increase related to the decline in the U.S. treasury rate used for discounting our long-term care obligations. The remainder of the operating cost dollar increase primarily relates to our increased volumes and cost related to acquired operations, which were partially offset by savings from lower fuel and risk management costs. For the second quarter as a percent of revenue, SG&A costs were 9.9%, up 20 basis points when compared to the second quarter of 2015. On a dollar basis, SG&A costs were $340 million, an increase of $18 million compared to 2015. Labor cost drove the majority of the increase, primarily related to acquisitions and higher accruals for stock-based incentive compensation. As you may recall, our stock-based incentive compensation is based upon performance in the areas of free cash flow and total shareholder return. And we've achieved strong performance in both metrics the last two years. In the second quarter, those costs increased $11 million when compared to the second quarter of 2015. We expect that these costs will exceed last year by about the same amount in the back half of the year. We still expect to improve SG&A cost as a percent of revenue for the full year when compared to 2015. Turning to cash flow in the second quarter. Cash provided by operating activities was $748 million, compared to $816 million in the second quarter of 2015. Our operations continue to perform very well as we achieved operating EBITDA increase of $76 million. However, this increase was more than offset by the impact of timing differences in cash tax payments of $75 million and working capital changes. We expect the working capital changes to even out over the remainder of the year. During the second quarter, we spent $312 million on capital expenditures, an increase of $16 million when compared to the second quarter of 2015. Through the first six months of 2016, CapEx has increased $100 million compared to 2015. A large portion of the increase relates to one-time capital spending for a leachate treatment facility and the timing of truck purchases. As a result, we now expect that capital expenditures will be between $1.4 billion and $1.45 billion for 2016. We do not believe that this year's increase in capital spending over our original guidance is a permanent increase due to the one-time nature of the extra spend. In the second quarter, we had $11 million in proceeds from divested assets, a decrease of $48 million from last year. Combined, we generated $447 million of free cash flow, and almost $849 million year-to-date. Given this strong first half performance, we're raising our free cash flow guidance to between $1.6 billion and $1.7 billion. In the second quarter, we returned $431 million to shareholders. We paid $181 million in dividends and repurchased $251 million of shares. Finally, looking at our other financial metrics, at the end of the second quarter, our debt-to-EBITDA ratio measured based on our bank covenants was 2.67 and our weighted average cost of debt was 4.22%. The floating rate portion of our total debt portfolio was 10% at the end of the quarter. The effective tax rate was 37.6% in the second quarter. Adjusting for the impairments, tax rate was 34.7%. We still expect our full year adjusted tax rate to be approximately 35%. In summary, through the first six months of 2016, our employees have driven strong operational and financial performance that's exceeded our expectations. And for that, I want to thank them. The second half of 2016 we'll have tougher year-over-year comparisons. However, we're confident that we can execute our strategy to have a successful 2016. And with that Jinisha let's open the line for questions.
Operator: Your first question comes from the line of Joe Box of KeyBanc Capital.
Joe G. Box - KeyBanc Capital Markets, Inc.: Hey, good morning guys.
David P. Steiner - President, Chief Executive Officer & Director: Morning.
James C. Fish - Chief Financial Officer & Executive Vice President: Good morning, Joe.
Joe G. Box - KeyBanc Capital Markets, Inc.: I just wanted to flush out the better than expected performance within really just your gross margins here in the quarter, can – how much of that would you attribute to the volumes kind of really turning the corner here and maybe getting a little more route density within some of your higher margin businesses like commercial versus say the reduction in churn that you saw in the quarter and maybe not losing some of those more profitable existing customers?
David P. Steiner - President, Chief Executive Officer & Director: Yeah. I think they are two sides of the same coin, right. I mean, I think our performance on the volume side was driven by both. You can't have continued volume increases when you're leaking customers out at the backend. So, we've really done a nice job this year of not only adding more new business, but losing less of our business. And so what I'd say Joe is that, we did a great job on that front. But as we get the tools in place to really understand profitability by customer. We can be a lot more focused on maintaining the right customers rather than just retaining the right number of customers.
James C. Fish - Chief Financial Officer & Executive Vice President: Joe, I would say on the operating – with respect to operating expenses, that was a good story as well. We were up $22 million if you exclude that pension charge last year, but you're up $22 million on 3.3% top-line growth. So if you adjust for revenue growth, our salary and wages line improved by about 20 basis points and we really overcame the merit increase – the annual merit increase of about 2.5% and that increase in landfill operating costs.
Joe G. Box - KeyBanc Capital Markets, Inc.: Got it. And I guess ultimately what I'm trying to get at it is, you've had the price lever that you've been pulling. Now you're starting to see volume. Obviously, you've been working the cost side, should we think about the incremental EBITDA margins maybe being north of that typical kind of 30-ish plus percent that I typically think about going forward? Is that a reasonable bogey?
David P. Steiner - President, Chief Executive Officer & Director: Yeah. Certainly on the commercial line that's a reasonable bogey. I mean, you hit on it earlier which is the route density, the ability for us to add the right customers in the right location at the right price is really the core to our sales and marketing efforts.
Joe G. Box - KeyBanc Capital Markets, Inc.: And David, just to be cleared, I was talking total company not just commercial on that incremental EBITDA?
David P. Steiner - President, Chief Executive Officer & Director: Yeah. Well, the commercial line is – yes, you're absolutely right, certainly at the landfill line, it's higher than that. In the industrial line, it will be higher than that. But the commercial line is really where you get that benefit of added density.
Joe G. Box - KeyBanc Capital Markets, Inc.: And then maybe just one last quick one, I'll turn it over. I think it's interesting that your commercial volumes are starting to turn the corner, really at the same time, it looks like the consumer maybe – could be getting a bit punkish. Are you thinking that this is going to be the beginning of a sustainable recovery in commercial volumes or would you caution us that it's going to be somewhat lumpy?
David P. Steiner - President, Chief Executive Officer & Director: No, when you look at what's happened to our commercial volume over the last, call it, 10 quarters. It's been a really steady progression of about 0.5% to 0.8% every single quarter. And so, the beauty of the commercial line of business is once you signup those customers, unless they go out business, they're with you for a long time. And with the churn rate going down, I would say we are at the beginning of the cycle, nowhere near the end.
James C. Fish - Chief Financial Officer & Executive Vice President: Joe, I'd also add that most of our new customers, our greenfield sites, new customers, new startups, it's about at the 60% mark of new customers. So that tells you there is some economy positives occurring.
Joe G. Box - KeyBanc Capital Markets, Inc.: Great. I appreciate the color. Thank you, guys.
David P. Steiner - President, Chief Executive Officer & Director: Thank you.
Operator: Your next question comes from the line of Andrew Buscaglia of Credit Suisse.
Andrew E. Buscaglia - Credit Suisse Securities (USA) LLC (Broker): Hey, guys. Thanks for my question.
David P. Steiner - President, Chief Executive Officer & Director: Sure.
Andrew E. Buscaglia - Credit Suisse Securities (USA) LLC (Broker): So, just looking at your volumes, I mean, so now we've got our second quarter in a row of positive volumes, how did it track towards what you guys were expecting in the quarter, I know we had a lot of noise last quarter, but were these better than you expected? And then, how do things trend through July so far?
David P. Steiner - President, Chief Executive Officer & Director: Yeah. I'd say they're a little bit ahead of where we expected. Like I said, the commercial line of business has been a very easy pattern to follow. The march has been very steady at about a 0.5 point to 1 point improvement every quarter. Obviously, the industrial line is a little bit more seasonal, and we probably had some of those volumes move into the first quarter, with the stronger construction season in the first quarter. The landfill line again has been a pretty steady march, again a little bit of extra volume probably in the first quarter. So I'd say we're a little bit ahead of where we are, but we don't expect the trend to change. That's why we think that we're on a very good march towards that positive 1% plus volumes by the end of the year.
James C. Fish - Chief Financial Officer & Executive Vice President: Andrew, the big question that we had really at the end of the first quarter was how much volume did we borrow, because of the mild weather that David mentioned, how much did we borrow in Q1 from Q2. And that borrowing would have occurred really in two lines of business, it would have occurred in the roll off line of business primarily within the temporary roll off component. And then it would have occurred in the landfill line of business. And looking at it, it looks like if you adjust out the added work day that we had in Q1, we think we probably borrowed somewhere in neighborhood of 60 basis points to 80 basis points of volume in those two lines of business, but still when you look at a 150 basis point improvement in the industrial versus last year and commercial being up 250 basis points which didn't see any borrowing from Q1 to Q2. We felt pretty good about volume in Q2 and as David said, probably a little bit ahead of where we expected to be, particularly on the commercial line.
David P. Steiner - President, Chief Executive Officer & Director: And with respect to last part of the questions, obviously it's still early, but July volumes continue to show the steady progression.
Andrew E. Buscaglia - Credit Suisse Securities (USA) LLC (Broker): Okay. Let's get into July, I mean you said, you could probably do better than that 1%. But, I guess what's the hesitation there, I mean are there some pretty large contracts rolling off in Q3 and Q4 or is it just tough comps or what, I guess what do we expect into the second half?
David P. Steiner - President, Chief Executive Officer & Director: Yeah, obviously, the comps get a little bit tougher that. And so, there is no, there are no big contracts. In fact, we have a couple of contracts on our national accounts side, that will be coming on in the back half of the year. And so, there really aren't any large volume losses like we've had in the past few years, particularly in the residential line of business. But there are a little bit tougher year-over-year comps.
Andrew E. Buscaglia - Credit Suisse Securities (USA) LLC (Broker): Okay. Got it. Thanks, guys.
David P. Steiner - President, Chief Executive Officer & Director: Thank you.
Operator: Your next question comes from the line of Michael Hoffman of Stifel.
Michael Hoffman - Stifel, Nicolaus & Co., Inc.: Hi, David, Jim, Jim, how are you today?
David P. Steiner - President, Chief Executive Officer & Director: Hey, Michael.
James C. Fish - Chief Financial Officer & Executive Vice President: Good morning.
Michael Hoffman - Stifel, Nicolaus & Co., Inc.: So, I have a question on the price side. You noted that you had a delta of about 80 basis points year-over-year on the core but you had a 90 basis points on yield on a – in the inside solid waste. So you clearly, that's the right direction. You're retaining more price within the core. What are you doing proactively to offset the leakage from $450-ish million of price you're going to the market with versus what you reporting?
David P. Steiner - President, Chief Executive Officer & Director: Yeah. Michael, as you've heard us talk about that's our Periscope project and Jim Trevathan is leading that, so maybe he can talk a little bit about what we're doing with Periscope.
James E. Trevathan - Chief Operating Officer & Executive Vice President: Yeah. Michael, I – I – you've noticed well because that is absolutely true. Part of it can be mixed, that we don't have control over. But what we do have control over, we're seeing the benefit of that. We're retaining more of that price. Periscope and it's a self service analytical platform, it really marries kind of revenue cost unit data, gives us profitability and trending profitability. We can do it, Michael, by customer, by sales rep, we can do it by customer segment or a sales channel by route, geography. It really will help us as we move forward. We're about halfway through, rolling it out to our 17 areas. Not all of them are executing with it. We're in the final steps of putting together a playbook that really will be because the analytics are so intuitive and so obvious, it will be really heavy on action. What do we do with the tool to get benefit? Most of that will come as we finish the rollout in Q4 and especially into 2017. But, for those areas that have been – have had it up and running, we see the benefit. We also see some real strong effort just in execution by our team on retaining those higher margin customers. And I think that plays into that yield positive as well. We've got really good processes that are being executed across the areas to retain customers and our operating team is providing a lot better service that we measure really consistently with real accountability processes. I think that trend will continue.
Michael Hoffman - Stifel, Nicolaus & Co., Inc.: Okay. And based on the early rollouts, where it's been in for a while, what's the pace of that gap narrowing, I mean is it 10 basis points a quarter or is 20 basis points or 30 basis points quarter?
James E. Trevathan - Chief Operating Officer & Executive Vice President: Michael, we've got, I don't have the number in front of me, but we've piloted in the Southeast and that's one of our highest yield and our most improved from a retention standpoint area. So we see the benefit of that from that area using it and implementing the tool.
Michael Hoffman - Stifel, Nicolaus & Co., Inc.: Okay. And then on volume, if I follow the path of the sequential progression and you exit the year at over 1%, but it feels like you start the year at almost 2%, based on that – I mean the reported number will be over 1%, but you're starting 2017 at 2% on volume. Am I being overly optimistic about your volume outlook for 2017?
David P. Steiner - President, Chief Executive Officer & Director: Yeah. Obviously, we put our budgets together in the October-November timeframe. So, we'll look at it then and where we are at that point in time, but what I've said Michael is that I do think we're progressing towards that what I call the 2% price, 2% volume, the 2x2. I've said that it's probably 18 months away, but as we put together our budgets for 2017, hopefully we'll see it on the horizon a little sooner.
Michael Hoffman - Stifel, Nicolaus & Co., Inc.: Okay. And then, there's lots of hand ringing in the stock market about the economy and recession here, there, Brexit all that. Can we break into two sort of pieces of your business. So the part that Harry Lamberton runs that approximately $1 billion that's industrial. If I pull out the energy waste business, which I get is down for secular reasons, what's the rest of the trend, and are you seeing any recessionary signs?
James C. Fish - Chief Financial Officer & Executive Vice President: No. It's interesting because you hear everybody talking about this industrial recession that's going on in the U.S., and I would tell you we're not seeing at our – our C&D volume, which is part of the industrial line of business, and then our special waste volumes are probably the best gauges of the economy – that part of the economy. And they're pretty strong, both were solid in Q2. June was the strongest month for the quarter, and July shows continued strength. So we're just not seeing the industrial recession. Now, maybe it's because we're at the backend of the cycle, but I would tell you, we're – even when we look at our special waste pipeline, it looks pretty strong. So, I'd tell you we're not seeing what the rest of the country seems to be talking about.
David P. Steiner - President, Chief Executive Officer & Director: And Michael, I'm not sure when the country talked about an industrial recession, I think they're thinking about things like automobiles and refrigerators. I think Houston is sort of indicative of the country, which is the west side of Houston is not doing so great because of low oil prices, but the east side of Houston, when you go to Beaumont, Lake Charles the spots where we have our industrial landfill base because of the low energy price inputs, those places are booming. You can't buy a house in Beaumont, not that anyone would want to.
Michael Hoffman - Stifel, Nicolaus & Co., Inc.: Be careful.
David P. Steiner - President, Chief Executive Officer & Director: But that's – yeah, that's a wonderful city. But the chemical corridor is doing spectacularly well, certainly is not in any kind of industrial recession. So, when we look at our overall industrial business, it's actually performing very well.
Michael Hoffman - Stifel, Nicolaus & Co., Inc.: Okay. And then, if I follow that through on the consumer side. So every restaurant company in the country, that's casual or fast casual is reporting lousy comps. So, yeah, you would have shown positive commercial volume. And I think the restaurant comp issue is they thought their comps were going to be three and four and they're coming in at one and two and that's deemed lousy. How do you see like the commercial market in the context of like – end markets like restaurants or the entertainment or services sector?
David P. Steiner - President, Chief Executive Officer & Director: Yeah. The overall commercial business as Jim Trevathan mentioned with about 60% to 70% of our new business coming from greenfields, which are our brand new operating businesses. It seemed to us that the whole commercial end market is very strong. We don't look at it necessarily by the various segments but the end market actually seems to be very strong.
Michael Hoffman - Stifel, Nicolaus & Co., Inc.: All right. And then last one from me. On your free cash flow raise $1.6 billion to $1.7 billion, how many dollars of one-time that are unique to 2016 are in that $1.6 billion to $1.7 billion?
James C. Fish - Chief Financial Officer & Executive Vice President: There's probably three numbers that really matter in that, Michael. You've got the one-time CapEx piece and that's about $100 million and that's offset by kind of a one-time cash flow monetization – cash taxes monetization. So those two offset one another at about $100 million apiece. And then you've got just the business itself growing at about $100 million coming in through the EBITDA line.
Michael Hoffman - Stifel, Nicolaus & Co., Inc.: Okay. That's great to know. Thank you.
Operator: Your next question comes from the line of Corey Greendale of First Analysis.
Ken C. Wang - First Analysis Securities Corp.: Thank you. This is Ken Wang on for Corey. Just focusing on the decline in recycling volume this quarter, which I believe may be a part of the volume you're shedding. Can you speak a bit about the dynamics here just given that commodity prices have been on an upward trajectory recently?
David P. Steiner - President, Chief Executive Officer & Director: Yeah. The bulk of those – of those volume declines were large contracts, where we were losing money and we rebid them to make money and someone else took the contract. And so losing those volumes is the best thing we can do for recycling because they were literally negative margin volumes.
Ken C. Wang - First Analysis Securities Corp.: Okay. Thanks. That's helpful. And then kind of on the same topic. I know you put into place recycling contracts that limit price exposure. And again with prices up for commodities, how will this affect the bottom line? Is there kind of a formula that you can give us or some kind of rule of thumb?
David P. Steiner - President, Chief Executive Officer & Director: Yeah, and look, prices are up, not dramatically, just in that 2% to 3% range – for the quarter. So, not a dramatic increase in price. And as we look forward, remember, every year, you seem to have that seasonal uptick and then starting in July, it starts to tick down. So, we're not certain that we're going to see that benefit in the back half of the year. But, generally what we say is that every $10 in commodity prices equates to about $30 million of EBIT for us. And so what we've tried do in this business is to make sure that if commodity prices go down, our earnings don't take a negative hit, but if commodity prices go up, they take a positive hit. So we've tried to de-risk the business. So that there's no downside, only upside. If the commodity prices go down in the back half of the year, we think we can offset that with operational improvement. So, we don't expect any negative benefit in the back half of the year, if we see anything in the back half of the year, it will be a positive benefit from recycling.
James C. Fish - Chief Financial Officer & Executive Vice President: And if you look at the whole first half of the year on recycling, while we were up in commodity prices for Q2 by about 2.3%, we're actually down still year-to-date over 4% in commodity prices and, to David's point, we think that'll probably even out, we're cautiously optimistic because of the dynamic that he mentioned with kind of high prices in Q2 and then they tail off in Q3 and Q4, but we're cautiously optimistic that we might be able to get to flat pricing. All of the benefit that you're seeing from recycling, a big chunk of the benefit you're seeing from recycling for us has been on the OpEx side where we've taken quite a bit of OpEx out for the first six months and we'll continue to do so in the back half.
Ken C. Wang - First Analysis Securities Corp.: Thank you.
David P. Steiner - President, Chief Executive Officer & Director: Yep. Thank you.
Operator: Your next question comes from the line of Al Kaschalk of Wedbush Securities.
Al Kaschalk - Wedbush Securities, Inc.: Good morning, everyone.
David P. Steiner - President, Chief Executive Officer & Director: Good morning.
James C. Fish - Chief Financial Officer & Executive Vice President: Hey, Al.
Al Kaschalk - Wedbush Securities, Inc.: From LA, I should say, right, as opposed to Houston. On the recycling piece, we can talk a little further on that please, a clarification. A couple years ago, you called out and I think it was actually dollar valued sort of the improvement that you were looking for operationally. A lot of it was through negotiating and re-negotiating contracts. Some of the commodity price headwinds et cetera. But where are we at in terms of that tailwind on the improvement? You earned $0.01, I think this quarter, or you commented that I think you had $0.01, which is the first time you turned profitable in a while and so, maybe I'll just leave it at that and let you take it from there to see if you can share an update on where you are at.
David P. Steiner - President, Chief Executive Officer & Director: Yeah sure. We're about 75% to 80% of the way through what I'd call those negative margin contracts. We still have a couple more that will roll off over the next six months to nine months. And so, and that's why say in the back half of the year, being 75% to 80% through those contracts, obviously we still have 20% to 25% that have some exposure to downward commodity prices. But, if that 20% to 25% sees downward commodity prices, we do think we can offset that with operational improvement. So, that's why I say in the back half of the year, there really is only upside from recycling. There really isn't much downside. Now, as we look back into the back half of year, we're not counting on a dramatic commodity price increase. But any commodity price increase that we have obviously falls straight to the bottom line.
Al Kaschalk - Wedbush Securities, Inc.: All right. Are you hearing from customers in terms of new service adds in this area, are people – municipalities in particular – are they still – do they get it yet in terms of understanding the cost?. I know your messaging has been very direct there. But what's the feedback that you're getting as folks are looking at the service?
David P. Steiner - President, Chief Executive Officer & Director: Yeah. Look, I think they get it. It's been a very prolonged downturn. This has been a different downturn than we've ever seen in the recycling markets. And so, I think they get it. Now, early on in the cycle you had some people that came in and bid some of these contracts under the old methodology, right. And they're not very happy with those contracts right now. So, in my mind, it sort of follows the same cycle that we saw with the fuel surcharge back in the early 2000s where initially people go well, we will count on the markets bouncing back. So we'll continue to bid under the old model. They're now stuck with three-year to five-year contracts where they're going to lose money for three years to five years. The next time those contracts come up, they will be bid more rationally. So, not only do the municipalities get it but I think that, that the recycling business community gets it too. And so, I think what you'll see is a much more rational bidding behavior over the next five years.
Al Kaschalk - Wedbush Securities, Inc.: Switching gears on the industrial side, you guys were on record in talking about this being a very, very strong growth area for you. It suggests to me it was more M&A implied but also organically. Could you talk about the environment there? There's certainly been a few companies that have struggled in this area. We've had a fair amount of tailwind from sort of the energy comps, which largely now I think is dissipated out of the numbers, so-called easy comps, but and then I think Jim made some comments earlier about the C&D and special waste but just talk about you put up 9.5% price, which I think was pretty, you got that number right, correct. Where do we go from here?
James C. Fish - Chief Financial Officer & Executive Vice President: Al, there is a couple of components of that industrial line of business. It's a big category. Of course energy services, I mean that we've had some questions, when we've been out talking to investors about are you seeing your energy services business coming back because you're seeing the price of oil bouncing back up and what we've said is look, energy services is really not so much driven by the price of oil, as it is driven by drilling activity and we've not seen drilling activity rebound in the form of recounts. So, the energy service piece is still pretty soft year-over-year. It's a pretty big negative for us that we've fought back against. Coal ash is another component. Coal ash, as you know, we have a big Duke contract that – that is proceeding well for us. And we're seeing some, certainly seeing the landfill impact from that contract. The utilities – the public utilities are out there developing their coal combustion residual plants at each – for each plant. And we expect that those plants will result in a combination of kind of onsite work and some offsite disposal for us, in the next few years. So, coal ash will be good. I would tell you that, that for the most of these companies prefer to handle it onsite, prefer beneficial reuse, we can handle all three. But we'll certainly see some benefit in addition the new contract. C&D, we talked about. C&D has been strong and I would tell you that in talking to one of our area Vice Presidents, who has a strong C&D market right now, he believes that that's part of what's affecting his commercial volume is that David has said it many times, it's when you start seeing these big tracks of land being taken out and we get that C&D business. That maybe the more beneficial side of that is getting the commercial volume the permanent business on the backend of that. And this – this VP seems to think that's exactly what's going on and then, there are couple of other components within the industrial line of business as well. But overall I think, industrial looks to be reasonably strong for us and it appears to be continuing down that path.
Al Kaschalk - Wedbush Securities, Inc.: Great. Jim, on your coal ash opportunity, there are a couple of companies. One in particular that has a fair amount of relationships with the utilities on the sort of selling that ash out for beneficial reuse. Is M&A an opportunity for you guys here? Understanding that disposal or the offsite work you certainly are set up for. But wondering about the onsite work – onsite work excuse me and the marketing of ash?
James C. Fish - Chief Financial Officer & Executive Vice President: Yeah. So, M&A is an opportunity for us there. Although, we've bought a company called FlashDirect a couple of years ago. And they have really grown tremendously since the acquisition of since we acquired them a couple of years ago. So, while we're always looking for proprietary technologies and that's what FlashDirect brought to us. Right now, we feel good with that acquisition, but not to say we wouldn't look at another acquisition there or in any other space, in energy services for example, it's got to be properly priced and we don't want to kind of buy at the bottom, but and we can talk more about M&A later. But, yeah, we'd certainly be interested in acquisitions, we just need to make sure it's the right technology and provides the right returns.
Al Kaschalk - Wedbush Securities, Inc.: Great. Finally David, if I can come back to your comment on your prepared remarks, I think you said that core price 4%, yield was 2%, and then you followed that with, it could moderate in the second half of 2016. Help me appreciate what you were – I won't say thinking at...
David P. Steiner - President, Chief Executive Officer & Director: Yeah. What I meant, Al, was that our original targets were 4% core price, 2% yield. We're going to exceed those, there is no doubt about it. This quarter it was 4.9%, so well above our target and 2.6%, well above our 2% target. And so, on the back half of the year, we've got some CPI headwinds, we've got some year-over-year comp issues, we've got the timing of price increases, so it might moderate a little bit. But, nothing dramatic, nothing that will dramatically affect profitability, we still expect that have a great back half of the year. And for the full-year, we'll clearly exceed that 4% core price target and that 2% yield target.
Al Kaschalk - Wedbush Securities, Inc.: Okay. So, you're saying moderate from the 4.9% and 2.6%?
David P. Steiner - President, Chief Executive Officer & Director: Exactly.
Al Kaschalk - Wedbush Securities, Inc.: All right. We'll look forward to seeing the results. Thanks a lot.
David P. Steiner - President, Chief Executive Officer & Director: Thank you.
James C. Fish - Chief Financial Officer & Executive Vice President: Thanks, Al.
Operator: Your next question comes from the line of Noah Kaye of Oppenheimer.
Noah Kaye - Oppenheimer & Co., Inc. (Broker): Yes, thank you, good morning. Just wondering, if we can touch on the residential portion of the business. You did shed some of the unprofitable volumes. Can you give us an update on how you're tracking with migrating to the Waste CPI sub index, something that I know certainly competitors talked about quite a bit. Can you give us a way to sort of measure where you are in the progress of that initiative.
James E. Trevathan - Chief Operating Officer & Executive Vice President: Noah, Jim Trevathan, here. We absolutely are focused on it not just with the residential line of business but with our national account business. With CPI obviously below one and not looking for any real strength in that number. We have migrated in that regard. We're – on new contracts, that is the goal of every new contract to have a metric that is closer to our cost increases rather than CPI. And we're on the residential side probably a third of the way through. On the national account side, we're getting a different metric on every renewal of a contract. It may not be the full wastewater treatment metric, that's generally 200 basis points, 300 basis points higher than CPI. But we see that as the way forward to minimize the margin deterioration as our costs go up, but yet CPI stays below one. So that is absolutely a focus and we're little less than halfway through, but again those are long-term contracts. So, as they change, that's the goal.
David P. Steiner - President, Chief Executive Officer & Director: Noah, even with the positive progress that Jim just talked about on shifting within these contracts, it's no secret that resi is a top line of business for us and I think it – to me it highlights the need for good solid disposal pricing. And we believe that we've made some progress on disposal pricing not as much as we would like part of – you will see an improvement as our charge kind of – how do we put it, in last quarter actually started on July 1. Starts to kind of come to fruition, but look that line of business has in all honesty has been a disappointment for us. We are doing a lot to try and fix it and part of that is addressing it on the disposal side of our business.
James E. Trevathan - Chief Operating Officer & Executive Vice President: And, Noah, an example of that – of that focus, on the residential line we were over 2% in yield for the quarter where we haven't been over 2% for a couple of years on the resi line of business.
David P. Steiner - President, Chief Executive Officer & Director: Yeah.
James E. Trevathan - Chief Operating Officer & Executive Vice President: So we're making real progress, that's measurable.
Noah Kaye - Oppenheimer & Co., Inc. (Broker): Okay. That is incredibly helpful. Thank you. That additional $100 million to $200 million of free cash flow, a nice upward revision there. Wondering kind of how you are thinking about allocation generally these days, how are you looking at the M&A landscape, certainly a rising tide tend to lift all boats and potentially evaluations. But we are seeing more indiscrete discipline on a number of fronts. So, wondering, how you're thinking about the M&A opportunities and also what kind of opportunities you are seeing for any kind of asset swaps and market consolidation?
David P. Steiner - President, Chief Executive Officer & Director: Yeah. when we look at the – at the acquisition market, basically the last three years, we've done a moderate size deal each year that added sort of that $50 million to $75 million of EBITDA. So, we did Deffenbaugh – RCI in Montreal, Deffenbaugh in Kansas City and then SWS in South Florida. And we really don't see another one of those on the horizon. We've looked at a number of deals, in the Southeast and some other places where, what you've said is exactly right, sellers have gotten a little bit undisciplined on what they want. We're generally willing to pay sort of six times to eight times EBITDA, given the synergies we can pull out. For a bigger deal, we might pay 7 times to 9 times EBITDA, again, because we can get good synergies and post synergies, we can get it at sort of 6 times to 7.5 times EBITDA. The part of the problem is we've got a lot of the solid waste sellers that want 12 times EBITDA, and that's just not a number that really works for us. And so, we really don't see one of those decent sized solid waste acquisitions on the near horizon. We aren't looking dramatically outside of our core solid waste. As Jim said, if we saw some opportunistic buying on the industrial side or energy services, we'd look at that, but we are not currently actively looking at anything in that arena. And so, we're sort of back to what I'd say are our smaller tuck-in acquisitions, sort of the $10 million to $20 million type acquisitions. And we've asked our business developers to pick up the pace on those to make up for the fact that we don't have any of those larger transactions on the horizon. And so, you know the deal. These things go in cycles. There are not a lot of buyers out there, you really haven't seen a dramatic amount of activity in the M&A side. And so – and I think that's probably because a lot of these sellers have heightened expectations, as the industry dynamics have improved, I would say that the industry is showing just as much discipline on the M&A side as they are on the operational and pricing side, no one is out there paying crazy numbers. So, those businesses are going to be sold, it's just the matter of when they get to a reasonable multiple.
Noah Kaye - Oppenheimer & Co., Inc. (Broker): Yeah. Yep. Well, thank you very much, and congrats on the quarter.
David P. Steiner - President, Chief Executive Officer & Director: Thank you.
Operator: Your next question comes from the line of Scott Levine of Imperial Capital.
Scott Justin Levine - Imperial Capital LLC: Hey, good morning, guys.
David P. Steiner - President, Chief Executive Officer & Director: Morning, Scott.
Scott Justin Levine - Imperial Capital LLC: Just want to push a little bit more on the guidance revision. And what's behind, it looks like the recycling business did a little better than you were budgeting for in the first half of the year. 1Q exceptionally strong, volumes seasonally – maybe a little bit more detail on explicitly what's behind the guidance raise. And also you know, I know you don't give guidance first half versus second half per se, but is this mostly just outperformance in the first half or is it factors that should continue to lend themselves to upside in the back half of the year and beyond?
David P. Steiner - President, Chief Executive Officer & Director: Yeah. When I look at the first half of the year and the outperformance in recycling, the outperformance in recycling is sort of offset by the underperformance on our leachate costs, which as we've said were up $22 million this quarter. And so those – actually that's a slight negative overall. And so from an – from a business point of view, when I look at the year, it's the plain and simple stuff, it's the blocking and tackling, price, volume and cost control, right. And we've seen steady progress on all three of those. We don't expect that to slow down. And so, the back half of the year, it obviously ramps up a little bit more than the first half of the year. But, we're pretty optimistic that we're going to continue to see the strong performance continue. Again it's blocking and tackling – price, volume, costs.
Scott Justin Levine - Imperial Capital LLC: Got it. Fair enough. Thanks. And as my follow-up, not to beat the dead horse on residential. But, I don't recall, I think you said, Jim, down 3.5% on volume. I don't recall offhand if that's better than it's been or maybe just a little bit more elaboration on what's driving the weakness. And it sounds like you're doing some things on the pricing side that are working well. But, how fixable is this or is this kind of an industry phenomenon and how confident are you that this business just in general that the metrics improve going forward?
James C. Fish - Chief Financial Officer & Executive Vice President: Yeah. Look it's about the same. I mean last quarter it was negative 3.4%. We've had some 2.6% and last year we had a couple of negative 3.6% on volume. So it's not been a great volume business for us. By the way, a lot of that is by design, but I think the changes that Jim talked about in those contracts are kind of back to David's point about de-risking the business or helping to de-risk the line of business. And then I think it's very important that we – we've had some very stiff competition within the resi line of business and so it's important for us to continue to push disposal price increases in addition to collection price increases. We're pushing collection price increases through this residential line of business on our customers, but I think it's important that we push disposal price increases on our third-party customers as well. They should have to pay their fair share.
Scott Justin Levine - Imperial Capital LLC: Is it a certain class of competitor, where you're seeing the issues of large residential contracts or it's just intense competition for them and landfill prices delever to drive improvement or is there more to it than that?
James E. Trevathan - Chief Operating Officer & Executive Vice President: Yes, Scott, Jim Trevathan. I think part of the issue on some of that volume loss, not all of it, but enough that it's measurable are from our local competitors. When you look at interest rates where they are. They can lease trucks at a really low cost and come in and take some of the neighborhoods for example that are around the Houston area. Now they probably don't have the capital, the capability from a capital standpoint to handle one of the larger locations or franchises, but they put pricing pressure on some of those local neighborhoods, where they can get a couple of trucks really, really inexpensively and that's part of the effect. What we do is look at it from an integrated standpoint as Jim Fish said. We're integrated and we're taking the – handling the disposal internally and it's not flow controlled to another disposal site then, we're going to retain that business. Where it's not we'll turn that volume loose where it's a low collection margin and put that capital to work at a place that we get a better return.
David P. Steiner - President, Chief Executive Officer & Director: And the beauty of that is when you see that local competitor take on sort of a moderate sized residential contract. Generally, what happens is they lose their focus on the commercial and the industrial side. So, they're adding trucks on the residential side. We don't have any problem with that, as long as they're not adding trucks on the commercial industrial side. So, for us, it's really a matter of balance, where do you want to invest your capital? And for us, we'd much rather invest our capital on the commercial industrial side than on the residential side.
Scott Justin Levine - Imperial Capital LLC: Understood. Appreciate the color. Thanks.
Operator: Your next question comes from the line of Michael Feniger of Bank of America ML.
Michael J. Feniger - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Thanks guys. With maybe not a large transaction on the horizon and with free cash flow coming in stronger than expected, could we maybe see more put to share buybacks or dividend growth perhaps, how are you guys thinking about that?
David P. Steiner - President, Chief Executive Officer & Director: Yeah. It's really a great question. And look, as we've said many times, our first priority would be to reinvest it in the business through acquisitions. The fact that we don't have one on the horizon doesn't mean, these things – these things happens fairly quickly. So, we want to make sure that we keep enough powder dry that if something comes along, we're able to act and act fast without leveraging up the balance sheet too dramatically. And so, we're always going to save a little bit of a dry powder to make sure that we can do any of those acquisitions that come along. And then, when we look at it, obviously our dividend yield has gone down with the stock price going up. And so, at the end of the year, when we look at our dividend, I would expect that we'll see another good increase in the dividend coming into the back half of the year. And then, on the share repurchase side, the bulk of the remainder of our cash goes to our share repurchase. We don't really time share repurchases. And so, we're going to ultimately do sort of $500 million to $800 million of share repurchases every year and I'd expect to see that continue.
Michael J. Feniger - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Great. And on the churn rate I guess, how low can that go? What's the ceiling or I guess, the better term is the floor? How should we think about that progression?
James E. Trevathan - Chief Operating Officer & Executive Vice President: Yeah. Michael, we – we ask ourselves that same question regularly. In the vicinity of 5% is structural churn, it's businesses, small businesses that open and then come and go. So, we probably at this point, have about 400 basis points to play with. I fully expect it to stay in single-digits and whether – our next goal is to get it below that 9% number and into the 8%'s. I think that is an achievable goal over the next few quarters, next year or two and that's what we're after. That's affected both by service, by how we handle customer issues as they come up. I think the Periscope tool will help us in that regard and help us focus price increases on customer segments that tend to accept them better and therefore reduce that churn number. Some of the process issues I mentioned earlier will help us in that regard, but a lot of it boils down to much better just front line service provision that our field guys are 100% focused on.
Michael J. Feniger - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Great. Thanks guys.
David P. Steiner - President, Chief Executive Officer & Director: Thank you.
Operator: Your final question comes from the line of Tyler Brown of Raymond James.
Patrick Tyler Brown - Raymond James & Associates, Inc.: Hey good morning guys.
James E. Trevathan - Chief Operating Officer & Executive Vice President: Morning, Tyler.
David P. Steiner - President, Chief Executive Officer & Director: Morning.
Patrick Tyler Brown - Raymond James & Associates, Inc.: Hey congrats on the swinging the pendulum over to the positive side on commercial volume, but Jim Trevathan, can you talk a little bit about the frontload fleet to how much excess capacity do you think you have in that fleet and how much of volume growth do you think you could absorb before you would have to see a bump in CapEx?
James E. Trevathan - Chief Operating Officer & Executive Vice President: Yeah. Tyler, we have plenty of capacity. There are a handful of markets, where we've added some frontload capacity on the route side, but our system has plenty of capacity when you look across the whole network to handle more volume. There are places as I said earlier that we've added routes, but with the tools that we now have to service delivery optimization and SDO with the onboard computers. When we add that we're adding it at that low cost basis rather than just a truck handling a handful of customers, we re-route regularly with that tool and make sure that the efficiency numbers stay up and they have as we've added volume in high growth market. So, I don't think you're going to see the huge impact whether it's to efficiency, you will see most of those dollars on the commercial customer additions going to the bottom line.
Patrick Tyler Brown - Raymond James & Associates, Inc.: Okay.
James C. Fish - Chief Financial Officer & Executive Vice President: By the way Tyler and we're buying more trucks this year. We're probably going to buy 10% more trucks this year than last year. So, we are buying some additional trucks you can imagine, we're not buying a lot of resi-trucks so most of them are going up on the industrial line of business and also the commercial line.
James E. Trevathan - Chief Operating Officer & Executive Vice President: Right, we'll about 1,300, 1315 trucks this year versus 1,120 last year. So we see that upside and yet our efficiency Tyler is still positive about 1% year-to-date. That's a good number for us compared to historic numbers.
Patrick Tyler Brown - Raymond James & Associates, Inc.: Yeah. That was actually my second question. So is that 1,300, is that a heightened replacement or is that a more of a normal replacement cycle, I assume it heightened?
James E. Trevathan - Chief Operating Officer & Executive Vice President: Yeah. It's heightened somewhat, especially as Jim said on the industrial side, because we're seeing more growth there and have consistently over the last couple of years. But it's – you're going to see it stay in that vicinity, we expect that volume as Dave said earlier, to go past one and we'll continue in that 1,300 or so trucks on just a replacement basis.
Patrick Tyler Brown - Raymond James & Associates, Inc.: Okay. And then Jim Fish, maybe I'm read into a little bit. But did your comments kind of indicate that CapEx would decline in 2017, given the leachate investments or do those stick around into 2017 just anyway to think about that?
James C. Fish - Chief Financial Officer & Executive Vice President: Specific to the leachate investment, yeah, I think you're going to see a decline because as we talked about that kind of $100 million, not all of it is, it is the leachate plant, or the waste water treatment plant. But yeah, specific to that they will decline now, there are some other things that could affect it, if we win a big contract for example next year that might offset some of that. But not knowing that at this point, I would say that we would see at least a partial decline off of this kind of $1.4 billion or $1.45 billion number.(1:02:10)
Patrick Tyler Brown - Raymond James & Associates, Inc.: Okay. Very helpful. And then this is a housekeeping question. I apologize, I got on the call late, I may have missed it, but what was the $40 million expense in the other line that was below EBIT and can you give us any help on how to think about that line going forward?
David P. Steiner - President, Chief Executive Officer & Director: Yeah. That's the impairment of some conversion technology investment that we had.
Patrick Tyler Brown - Raymond James & Associates, Inc.: Okay. All right. Perfect. Thank you.
David P. Steiner - President, Chief Executive Officer & Director: Thank you.
Operator: I will now turn the call over to Mr. David Steiner for an announcement and closing remarks.
David P. Steiner - President, Chief Executive Officer & Director: Thank you. In a year where there doesn't seem to be a lot of good presidential news, we actually have some very good presidential news here at Waste Management. Today, we'll be issuing a press release and we're going to file an 8-K, announcing that we're promoting Jim Fish to the role of President. I wish I could promote him to role of President of the United States, but unfortunately all I can do is promote him to President of Waste Management. As part of our ongoing succession planning process, the board and I felt that the next logical step in that process was for us to name Jim President. We are conducting a search for a new Chief Financial Officer, who will report to Jim and while that search is underway, Jim will retain his CFO responsibilities. Obviously, you all on the phone know Jim very well. Many of you have worked with him for a while now, so you know why the board and I have such confidence in him. He has really been pivotal to the success of our company and he's also a talented leader with tremendous knowledge of all aspects of our business. The promotion is a well deserved recognition of his past accomplishments and another step in his development as a leader. I'm sure, you'll join me, our board, our senior leadership team and the rest of our Waste Management family in congratulating Jim on this great achievement. And with that operator, we will see you next quarter. Thank you.
Operator: Thank you for participating in today's Waste Management conference call. This call will be available for replay beginning today at 1:30 PM Eastern Standard Time through 11:59 PM Eastern Standard Time on August 11, 2016. The conference ID number for the replay is 4398-6112. Again, the conference ID number for the replay is 4398-6112. The number to dial for the replay is 855-859-2056. This concludes today's Waste Management conference call. You may now disconnect.